Operator: Hello, and welcome to the Vallourec Q4 and Full Year 2023 Results Call. My name is Laura, and I will be your coordinator for today's event. Please note, this call is being recorded, and for the duration of the call, your lines will be on listen-only. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand you over to your host, Connor Lynagh, VP, Investor Relations, to begin today's conference. Thank you.
Connor Lynagh: Thank you. Good morning, ladies and gentlemen, and thank you for joining us for Vallourec's fourth quarter and full year 2023 results presentation. I'm Connor Lynagh, Vice President of Investor Relations at Vallourec. I'm joined today by Vallourec's Chairman and Chief Executive Officer, Philippe Guillemot, and Vallourec's Chief Financial Officer, Sascha Bibert. Before we begin our presentation, I would like to note that this conference call will be recorded and a replay will be available following the call. You can find the audio webcast on our Investor Relations website. The presentation slides referred to during this call are available for download here as well. Today's call will contain forward-looking statements. Future results may differ materially from statements or projections made on today's call. The forward-looking statements and risk factors that could affect those statements are referenced at the beginning of our slide presentation. These are also included in our Universal Registration Document filed with the French financial markets regulator, the AMF. This presentation will be followed by a Q&A session. I'll now turn the call over to Phil Guillemot.
Philippe Guillemot: Thank you, Connor. Welcome, ladies and gentlemen, and thank you for joining us for this update on Vallourec's fourth quarter and full year 2023 results. Before proceeding, [Technical Difficulty] where you can consult our safe harbor statement. Today's agenda is on Slide 3. I will start by giving you an overview of the highlights of the fourth quarter and full year 2023, followed by an update on the market and commercial environment. Sascha will then take you through our fourth quarter numbers, and I will finish with the outlook for the first semester and full year 2024. First, let's look at the highlights of the fourth quarter and full year on Slide 5. Our fourth quarter 2023 EBITDA was EUR280 million, which brought our full year EBITDA to EUR1.196 billion, which exceeded the high end of our prior guidance range. Strong execution in the Americas was the primary contributor to this better-than-expected results. Our adjusted free cash flow for the full year was very strong at EUR860 million with EUR275 million in the fourth quarter. We have cut our net debt level in half over the last 12 months and by over EUR900 million versus the peak observed in third quarter 2022. I would like to thank the entire Vallourec team for their strong performance in generating the company's best results in nearly 15 years. Looking ahead, we expect to continue to deleverage in 2024, starting in the first quarter. This will ultimately enable us to reach our target capital structure and then return capital to shareholders. Moving to our Commercial and Operational updates. We continue to see a robust market in our international tubes business. Demand and pricing are very strong, and our prices on new orders have continued to grow. We recently announced two noteworthy orders in the Eastern Hemisphere, which demonstrates Vallourec's unique positioning in the premium OCTG segment and its ability to deliver highly technical solutions across the world. US demand is stable, and we expect market pricing to stabilize imminently. Finally, in our New Energies business, we have seen significant momentum punctuated by the unveiling of our proprietary vertical hydrogen storage solution late last year. To Slide 6. As a reminder, the new Vallourec plan was announced in May 2022. We have now fully executed the plan we communicated to you at this time, giving birth to a New Vallourec. We have completed the planned shutdowns of the European assets and our overhead cost reductions. These initiatives will result in a EUR230 million EBITDA improvement and an additional EUR20 million CapEx reduction versus the planned 2021 baseline. While this marks a significant group-wide achievement, we are not finished. We continuously identify more potential, and there is more we can do to enhance margins and further narrow the profit gap we see versus our largest peers. Following the overhaul of our pricing policies, we will stay very disciplined and continue to follow our value-over-volume approach. Additionally, operational efficiency will stay at the top of our agenda. We have already made significant progress in moving towards an organizational setup that allow us to generate positive free cash flow through the cycle. An important contributor that remains outstanding is rightsizing our balance sheet to further reduce financial cash-out. Finally, we remain well on track to reach zero net debt by year-end 2025 at the latest. Slide 7 provides an update on the targets of the New Vallourec plan. As I said, we have completed all of the primary objectives we had identified in May 2022. Specifically, we have closed our German operations and executed the CapEx program to transfer those production capabilities to Brazil. We have also executed our EUR100 million overhead cost reduction target. Our premiumization strategy in China has also been completed, and this hub will move towards group average margins over time. Finally, our local finishing capacity expansion in Saudi Arabia is completed as well. We are ramping up our higher capacity in the country now. Moving to Slide 8. Here is a look at what we have done and what is to come. I will focus my comments on what is in store for 2024 and beyond. In our go-to-market strategy, we plan to develop a premier New Energy franchise and grow other high-margin revenue through services and accessories. Operationally, we are committed to driving higher profitability in Brazil via improvements in our operational processes and performance. We also see substantial opportunity to improve the way in which we harness data to improve our operational efficiency and profitability. In terms of financial management, we remain highly focused on cost and cash discipline. We plan to optimize our balance sheet to account for the significant deleveraging we have executed thus far. Once we have reached our target capital structure, we intend to return 80% to 100% of our total cash generation to shareholders potentially as early as '25. We will update you on all of these initiatives over the coming months and years. Today, I would like to highlight the substantial progress we are making in developing our New Energy business. Let's move to Slide 9. Overall, in 2023, we saw substantial new business wins in New Energies. Our bookings increased by over 80% year-over-year, and we added more than 10 new customers. What is very important to note is this is aligned with our value-over-volume strategy. Our New Energies business is coming with in line or accretive margins versus our other businesses. Right now, the demand has come largely from geothermal and CCUS customers with North America driving most of the CCUS demand and geothermal demand more balanced between the US, Europe and Asia. We were also very proud to introduce our vertical hydrogen storage solution, Delphy late last year. We mentioned this new proprietary offering during our Capital Markets Day in September, and I'm pleased to report we executed a successful proof-of-concept in our research and development facility in [indiscernible] in Northern France [Technical Difficulty] and customer interest in this solution, and they are currently targeting the first commercial systems deployment in 2025. We continue to expect these systems will represent a EUR20 million to EUR50 million revenue opportunity per unit sold, depending on the specific application. Now let's discuss the commercial environment. On Slide 11, we focus on the US OCTG market. This horizontal rig count, a proxy for our demand has been stable for months. We expect a flattish market environment from here. That said, our shipments outpaced the rig count increase in the fourth quarter and will again in the first quarter due to the destocking effect we experienced in the third quarter. On the supply side, imports remained very low. We have seen distributors rationalizing inventory. They have limited import needs at present. We expect this import will continue to remain supportive to US market balance for the time being. Given the improving fundamentals regarding supply, demand and inventories, the decline in market pricing has slowed substantially, and we expect prices to stabilize imminently. On Slide 12, we focus on the international OCTG market, which drives a higher portion of our business compared to the US market. Our message here is quite similar to last quarter. Drilling activity has remained stable at healthy levels for months. Capacity for premium OCTG is quite limited globally. And speaking for Vallourec, in particular, we continue to experience demand in excess of our premium production capacity. Third-party data confirmed this trend with Middle East pricing will be slightly higher in recent periods. I am pleased to report that once again, in the fourth quarter, our booking trends were more favorable than this public market data. That is the prices of our new orders have continued to show a positive trend and continue to exceed those you see in our fourth quarter results. Therefore, we foresee a positive price tailwind in our results outside of the US for the next few quarters. Let me wrap up the comments on our tubes business on Slide 13. We saw EBITDA per tonne improved from the third quarter of 2023 due to strong execution in both North and South America. We continue to see strong demand trends, particularly in this hemisphere. We announced two meaningful contract wins recently. First, in Iraq, we announced a contract for the supply of 15,000 tonnes of casing and tubing and associated accessories for the first phase of TotalEnergies, multi-energy, Gas Growth Integrated Project. This is expected to be a significant multiyear project, and we look forward to collaborating on this over the coming years. In addition, we won a contract with Wintershall Dea for the Dvalin North deepwater gas development project in the Norwegian North Sea. This contract features highly premium product mix, demonstrating our continued ability to deliver high-value products globally. Looking ahead to 2024, we still have meaningful operational tailwinds. The premiumization program in China will improve margins for volumes produced in Asia as we progress through 2024. In addition, we are progressing to deliver improved efficiency and profitability in our world-class production hub in Brazil. Let's turn to our Mine and Forest segment on Slide 14. Iron ore production was 1.7 million tonnes in the first -- in the fourth quarter. The year-over-year increase reflected our return to higher production levels following the full release of the Cachoeirinha waste pile in May 2023. We iterate our 2024 expectation for the 6 million tonne run rate we guided at the Capital Markets Day, though at current iron ore prices, we will be slightly above the EUR100 million EBITDA run rate we guided at that point. We continue to advance on our Phase 1 and Phase 2 extension and we'll update you on this as we progress through the year. I will now hand over the call to Sascha to comment on our financial results.
Sascha Bibert: Good morning, and thank you for participating in our call. We pre-released our results since we expected to exceed our EBITDA guidance range, which we have increased during the Q3 results presentation, but also since cash flow was coming in stronger than the market assumed. Therefore, I can focus on those items today that warrant additional commentary. So let's turn to Slide 16. In 2023, we fully implemented the new Vallourec plan announced in May 2022. We ended the operations in Germany and generally demonstrated how value-over-volume leads to higher profitability. Comparing the fourth quarter of 2023 with a quarter a year ago, provides a tough benchmark as in Q4 2022 we have recorded the highest results for our US business. You can also note that our EBITDA was burdened by about EUR9 million due to FX in this comparison. In spite of this, we managed to report a 200 basis point improvement in the group EBITDA margin now around 22% and more than 23% for the full year. Most important, Q4 2023 was the fifth consecutive quarter in which we generated positive total cash generation, leading to a continuous decline in net debt. Over the last five quarters, this sums up to almost EUR900 million in cash generation. Over to Page 17. [Technical Difficulty] business, we recorded lower volumes year-over-year, predominantly driven by the reduction of business in Germany, but also following our value-over-volume strategy implementation in Asia. Sequentially, however, volumes are up as the reduction in Germany was overcompensated by a pickup in shipments in the US following a weak third quarter. Revenues directionally followed volumes, though we increased the ASP both year-over-year as well as sequentially. We continue to book new OCTG business at higher prices relative to the current invoicing price in the Eastern Hemisphere, which is one of the areas that give us confidence for the year 2024. Over to Page 18. While absolute EBITDA is down year-over-year, the margin and the EBITDA per tonne has improved both year-over-year as well as sequentially. This is a direct consequence of our pricing policies and the focus on the most attractive business opportunities. On to Page 19. Q4 iron ore production was fully in line with our guidance and together with an attractive price, led to a good EBITDA and EBITDA margin. Within the EUR43 million EBITDA, we also have the result of our forest, specifically the noncash IAS 41 revaluation effect of [Technical Difficulty] cycle simulation. 2025 should then have lower cash out driven largely by lower restructuring costs, allowing us to increasingly demonstrate the full cash generation capacity of Vallourec. We have not included cash effective EBITDA in this chart. However, Philippe will give you a perspective in a minute. Similarly, we have not included changes in working capital. With that, let me hand back to Philippe for the specific outlook 2024.
Philippe Guillemot: Thank you, Sascha. Let's look at Slide 25. Before I discuss the outlook for 2024, let me reflect on our excellent 2023 results. We delivered nearly EUR1.2 billion of EBITDA, but the composition of this was also not worthy. Tubes delivered almost 90% of this EBITDA as compared to 2020 and 2021, where we derive the majority of our profits from our mine and forest business. We are now delivering value from our primary operations, the production of premium seamless tubes. Our cash generation was also very strong. We compare our legacy free cash flow metric here to allow you to see the substantial progress we have made in cash generation. Despite the significant restructuring cash out in 2023, we generated the best cash flow we have seen in nearly 15 years. Let us turn to Slide 26 to see how we plan to continue this momentum. Here is an overview of our expectations for the first half and full year 2024. Looking at tubes. We expect a slight volume decline in international tubes in the first half of the year due to the closure of our German operations. This will be offset by improved international pricing and increasing US sales volumes. For the full year, we expect the strong market environment to persist with results benefiting from strong pricing for international orders that are already in our backlog. In our Mine and Forest business, we expect H1 production to be approximately 3 million tonnes with Q2 production to be higher than Q1 due to the rainy season impact in the first quarter. Full year production sold is expected to be 6 million tonnes. In both the first half and full year, costs will remain elevated. At the group level, we expect first half 2024 EBITDA to be broadly similar to the second half of 2023. We expect 2024 to represent another strong year of EBITDA generation due to robust tubes pricing as well as our ongoing operational improvements. Finally, we plan to deliver a positive total cash generation and, therefore, reduce our net debt in 2024, starting in the first quarter. A few words to conclude on Slide 27. 2023 marked Vallourec's best year in nearly 15 years as we fully executed the new Vallourec plan announced in May 22 and substantially deleveraged our balance sheet. We believe the strength observed in the tubes market is durable and will contribute to another year of robust results in 2024. Finally, we are well on track to reach zero net debt by year-end 2025 at the latest, which will ultimately enable us to achieve our ambition of returning 80% to 100% of total -- our total cash generation to shareholders. Thank you for your attention. Sascha and I are now ready to take your questions.
Operator: Thank you. [Operator Instructions] We will now take our first question from Joe Charuy with Bank of America. Your line is open. Please go ahead.
Joe Charuy: Hi. Good morning, gentlemen. Congratulations on a strong set of results. I kind of have two questions and they're to do with what you define as your optimal capital structure, in particular, how you define net debt to zero? And then secondly, a question with regards to maybe bringing it back to the press release from your Capital Markets Day, where you talk about returning capital in the form of dividends and buybacks, assuming that Vallourec will have made substantial progress towards your goal of reaching net zero debt. In my view, you had EUR2.3 billion of net debt pre-restructuring, you're at EUR500 now. Is that substantial? And if we talk about net debt in the context of 0.5 times full year EBITDA, are we there yet?
Philippe Guillemot: To answer first your second question, the more time goes by, the closer we are to be in a position to return -- to make returns to shareholders. So yes, I think your point is valid. I think you did the math yourself. We are already within the range of leverage we indicated at the Capital Markets Day. Capital structure, obviously, as we have progressed significantly in our deleveraging, we are in a good position to now look for a more optimized balance sheet, which mirrors the company as it is today and its ability to raise cash, and I hand over to Sascha, that will give you more color on what is our objective.
Sascha Bibert: Yeah. I think, first of all, we all agree we have made definitely substantial progress. And the overall leverage of Vallourec is starting to send the signals that we want to see. Nevertheless, we are not yet a net debt zero. But speaking about the optimal cap structure, I would say, reaching net debt zero by simply accumulating cash while having a substantial amount of gross debt is probably not the best way to do it. So at the right point in time, we will look at our loans. We will think about the optimal volume of loans, the composition of loans, how much cash we actually need to run the business, what the total liquidity is. And I think what we have today is not yet optimal, but we will take the steps to make it optimal in the future.
Joe Charuy: Okay. That's very clear. And then maybe just a follow-up. On the dividend side, right, you have a number of covenants restricting payment of dividends, but you don't have those covenants around buybacks. Could you just provide some color on kind of more of a -- if, let's say, towards the end of the year, you have optimized your capital structure, just how tactical you could be with deploying some of that -- deploying buybacks versus dividends?
Sascha Bibert: So I have a slightly different reading again for what it's worth, but just to technically answer your question. Number one, we do have an existing authorization for buybacks. Number two, there are various ways to look at dividend constraints. But I would say the balance sheet today would already allow to pay dividends if the company and the shareholders would decide so.
Joe Charuy: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] We'll now take our next question from Jean-Luc Romain with CIC. Please go ahead.
Jean-Luc Romain: Good morning. Two questions, if it's possible. First, on the New Energies business, could you give a kind of indication of the tonnage, which was sold in 2023? And second question relates to your guidance. How do you define strong compared to what you published in 2023? Is it stronger, slightly lower, what?
Sascha Bibert: So New Energies, you remember that during our Capital Market Day, we said that we would -- we expect that 10% to 15% of our EBITDA will be coming from non-fossil application by 2030. So we are on this path. I won't give you the tonnage today. This tonnage by the way, are geothermal application on CCUS. And obviously, you have noticed our new development on hydrogen, which is obviously not yet generating revenue, but hopefully, will start in '25. So we are on this trend, and we are well on track with our plan. As far as next -- this year compared to last year, I gave you already I'd say hint on what will happen in H1. As I said, that EBITDA in H1 will be broadly similar to the one we delivered in H2 last year, which was slightly -- which was around EUR500 million.
Philippe Guillemot: Yeah. Maybe we can just remind all of you that surely the biggest area of uncertainty for the second half related to the US that simply has to do with the about three months time lag between booking and invoicing. However, for the rest of the world, we can already look at our backlog. There the time lag between booking and invoicing is about three-quarter, so that gives us confidence that, indeed, the full year will be a strong year, but we are not yet at the point where we qualify or quantify that further.
Jean-Luc Romain: Thank you very much.
Jean-Luc Romain: Yeah. Obviously, as I said, we will further deleverage our balance sheet, starting in June.
Operator: Thank you. [Operator Instructions] We'll now move on to our next question from Kevin Roger with Kepler Cheuvreux. Your line is open. Please go ahead.
Kevin Roger: Yes, hi. Good morning. Thanks for taking the question. And just to understand potentially where we will end the EBITDA for the full year 2024. You say that the pricing in the US will very, very soon stabilize. If it's the case, would you say that the H2 EBITDA is likely to be better than the H1 because basically, you will have still the positive development from the international activities, Middle East pricing, efficiency in Brazil, et cetera. This is really the question. If the price is stabilizing in the US, like you said, is it fair to assume that H2 EBITDA would be better than H1?
Sascha Bibert: Yeah. You're right. I think we see pricing stabilizing eminently in the US. As we indicated, I think the prices in our backlog get higher than the pricing of our current revenue. So the trend on the insurance part of the business is rather upward. Nevertheless, overall, all in all, under the assumption of the stabilization of the US, I think H2 could be -- I think could be in line with H1.
Kevin Roger: Okay. So H2 in line, I understand. And regarding the disposal process, so is there anything to mention here with the dividends that you see at in Germany?
Sascha Bibert: So we have a few developers knocking our door and obviously talking to us about this land. We need, as usual, when you sell such a large piece of land in a city like this, you need to ensure that you have the political support for the project that could be contemplated by the developer. So that's what we are working on. I remind you that we don't have to divest this loan in [RAC] (ph) in order to be net debt zero by end of year end '25 at the latest. So it's a plus. It would accelerate our deleveraging. It's not a must.
Kevin Roger: Okay. Understood. Thanks a lot.
Operator: Thank you. And we will now take our next question from Baptiste Lebacq with Oddo. Please go ahead.
Baptiste Lebacq: Yes, good morning. Thanks for taking my questions. I have two questions. The first one is regarding, let's say, the ramp-up in Brazil. Did you identify, thanks to this ramp up, new additional cost savings? And the second point is more technical. Are you able to buy or are you allowed to buy some warrants, which are in the end of banks rather than making some share buyback program? Thank you.
Philippe Guillemot: I will take the first question and hand over of course, to Sascha for the second one. As far as Brazil is concerned. So we have fully executed what was announced in [May ‘22] (ph). We shut down our German operation, and we have transferred 100% of the oil and gas volume to Brazil, thanks to the CapEx plan we have fully executed in order to have the capabilities in Brazil to produce the few SKUs that we were only produced in Germany. What we have entered now is a typical phase where we go down the experience curve. Experience curve means that the level of quality as an example, that was reached by Germany after 20 years of experience is obviously not the level we enjoy today in Brazil, but it will be the case. It will be the case because, obviously, we are today on this experience curve that will lead slowly but surely and surely to slowly to better cost in Brazil. So that's what we are executing right now in Brazil. And over to Sascha on the warrants.
Sascha Bibert: On the warrants. Let me respond like that, just for everyone's understanding. So there are about 30 million warrants outstanding that has been granted back then to three banks as part of the financial restructuring. Now we are currently observing quite a bit of short interest in our stock and we interpret some of that to be related to hedging of those warrants. So we are observing that. We are making up our minds. We do see that it has a certain impact on the share price and in the overall notion of generating shareholder value but also returning money to shareholders. We will see how we take that forward, but I wouldn't go further as of today.
Baptiste Lebacq: Thank you.
Operator: Thank you. And we will now take our next question from Jamie Franklin with Jefferies. Please go ahead.
Jamie Franklin: Hi, there. Thanks for taking my questions. Most of them have actually been answered already, but just one on volumes then. So you talked about international volumes, I believe, being slightly lower in 1H due to closure of German operations. Just thinking about the split then of international tube volumes and US tube volumes, is it going to remain roughly one third US, two thirds international? If you could just sort of talk about the profile of volumes and the mix of those through '24, that would be great. Thanks.
Philippe Guillemot: As I said, the decrease in volume is just a direct consequence of the fact that we ramped down in '23 of our German operation. So when you compare year-on-year, obviously, we don't have any more of the volume in Germany. So as a consequence on the international part of our business, there is a decrease. But now I hand over to Sascha to give you more color on our -- how -- by the way, our volumes are well balanced among geographies between US and international.
Sascha Bibert: Jamie, I would say that in H1 '24 volumes outside of the US, i.e., volumes, meaning tonnage are higher than the ones in the US. So we have -- I think we will see a shift somewhat from the US into other markets, irrespective of the fact that the volumes in Germany will cease to exist.
Jamie Franklin: Okay. Thank you.
Operator: Thank you. We have no further questions in the queue currently. [Operator Instructions] There are no questions coming through. I will now hand it back to Philippe Guillemot for closing remarks. Thank you.
Philippe Guillemot: Thank you again for joining us for today's call. I'll leave you with the following thoughts. 2023 was a highly successful year for Vallourec and demonstrated the potential we see in our business. We are by no means finished and see continued ways to deliver increased shareholder value. We look forward to sharing our progress with you in these matters and remain firm in our aspiration to become one of the most shareholder-friendly companies within our peer group. Thank you again. Operator, you may close the call.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for your participation. Stay safe. You may now disconnect.